Operator: Thank you for standing by. This is the conference operator. Welcome to the Gentherm Second Quarter 2020 Earnings Conference Call. As a remainder, all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Yijing Brentano, Investor Relations. Please go ahead.
Yijing Brentano: Thank you, and good morning, everyone, and thank you for joining us today. Gentherm’s earnings results were released earlier this morning and a copy of the release is available at gentherm.com. Additionally, a webcast replay of today’s call will be available later today on the Investor Relations section of Gentherm’s website. During this call, we may make forward-looking statements within the meaning of federal security laws. Statements reflect our current views with respect to future events and financial performance. We undertake no obligation to update them, and actual results may differ materially. Please see Gentherm’s SEC filings, including the latest 10-K and subsequent reports for discussions of our risk factors and other risks and uncertainties, underlying such forward-looking statements. During the call, we may discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release or investor presentation. On the call with me today are Phil Eyler, President and Chief Executive Officer; and Matteo Anversa, Chief Financial Officer. During their comments, Phil and Matteo will be referring to a presentation deck that we have made available on our website at gentherm.com/events. After their prepared remarks, we will be pleased to take your questions. Now I’d like to turn the call over to Phil.
Phil Eyler: Thank you, Yijing. Good morning, everyone, and thank you for joining us today. In the second quarter, the global pandemic continued to create significant hardship and challenges worldwide. Our top priority has continued to be the health, safety and support of our global team members and the communities we serve. I’m proud of the team for their strong execution in the second quarter despite the unprecedented conditions created by the worldwide COVID-19 pandemic. Let me start by sharing some of the key highlights of the quarter on Slide 4. While our 44% decline in total product revenue reflects the challenges in the underlying markets, we were able to outperform in Automotive in each of the key markets that we serve based on IHS’s July data. Adjusting for our higher revenue exposure in North America and Europe, we outperformed the actual light vehicle production by approximately 700 basis points. In medical, we delivered double-digit revenue growth, both year-over-year and sequentially. On the award front, our customer business units secured approximately $300 million in automotive new business awards in the second quarter. More importantly, we had the highest win rate in company history in the second quarter, securing over 90% of our opportunities. Moving to the cost side. Our ongoing disciplined approach to managing expenses allowed us to reduce operating expense by 30% from a year ago. Importantly, we generated a 24% increase in cash flow from operations in the first half of 2020 versus the prior year period. Despite the challenging environment, our balance sheet remains strong with total liquidity of nearly $370 million at quarter end. Matteo will provide more details on our financial results in a few minutes. Now turning to the automotive highlights on Slide 5. I’m very proud to share that Gentherm was named a 2019 General Motors supplier of the year. This prestigious GM supplier of the year award is presented to the top 1% of GM supply base. It’s even more rare for a Tier 2 supplier to win this recognition. This is the first time that Gentherm has been recognized by GM for our work to deliver exceptional solutions and customer service globally. GM is one of our longest-standing customers and continues to be an exceptional partner in developing and adopting our new technologies. Winning the supplier of the year award with our largest customer is a testament to our commitment to deliver the highest level of quality and service. I want to thank the entire Gentherm team for their dedication and commitment to quality, innovation, safety and operational excellence. Also in the second quarter, we launched our automotive solutions on 30 different vehicles across 29 OEMs, including FCA, GM and Hyundai-Kia. We continued to see momentum for our CCS product, and we launched on the Acura MDX, Chevy Blazer and Chevy Bolt, the GMC Sierra and Chevy Silverado, the Hongqi HS7 in China as well as the Kia K5 and Kia Optima. On the technology front, we continue to make great progress on ClimateSense development projects. As I’ve discussed in the past, Gentherm has been in development with a major European OEM. Now I’m pleased to announce that this OEM, BMW, has decided to extend our partnership, and we’ve kicked off a second phase of the advanced development project. Lastly, I’m excited to share that Lear has introduced its newest solution in intelligent seating the INTU Thermal Comfort with Gentherm’s ClimateSense technology. Our collaboration with Lear addresses consumer preferences of today and tomorrow by combining Gentherm’s expertise in human thermophysiology with Lear’s strength as a leader of automotive seating and electronic systems. The partnership has resulted in an intuitive solution that delivers faster passenger comfort and automatically adjust based on occupant temperature preferences and profiles. The INTU Thermal Comfort with ClimateSense technology is the first market-ready solution developed from this collaboration. Now on to Slide 6, where you can see that in the second quarter, we secured approximately $300 million in new program awards across 11 different customers. While the pandemic significantly impacted our revenue performance in the second quarter, our award momentum was strong. In the second quarter, we won multiple CCS awards, including platform wins with Cadillac XT 5, Ford Mustang and Hyundai Genesis. Also, I’m very pleased to announce that we recently secured our largest single vehicle production Climate Control Seat award in the company’s history. Gentherm will be the exclusive climate-controlled seat technology supplier for the global BMW 5 series, which is produced both in Europe and China. Also, Gentherm continues to grow our business with our largest customer, General Motors. In the second quarter, we were able to further secure 10 new program awards for our climate-controlled seat business for both North America and China. This was a significant achievement to expand our strong position with General Motors. In addition, we received steering wheel heater awards across 5 OEMs including the CLAR platform on all BMW X Series Vehicles, Ford Bronco, Honda Pilot and Porsche Cayenne. I’m also very excited to share that we are growing our business with Toyota, winning seat heater awards for the Lexus Rx and Lexis NX as well as the Toyota Sequoia. Our extremely strong win rate in the quarter, coupled with increased activities with many of the OEM customers, demonstrates the continued momentum we have in automotive. Now let’s turn to Slide 7 for a discussion of our medical business. In the second quarter, we delivered record quarterly revenue growing over 18% year-over-year. The majority of the growth resulted from the increase in Blanketrol equipment and consumable shipments across the U.S. and Europe to support temperature management of COVID-19 patients to help improve outcomes. In addition, through the U.S. Food and Drug Administration Emergency Use Authorization, our Hemotherm Model 400CE dual reservoir blood cooler heater, can be used to treat patients with COVID-19. This authorization from the FDA opens the way for Gentherm to provide support to health care professionals in treating patients with severe symptoms of COVID-19. Thanks to the enormous effort of our team, we are able to have a positive impact for patients and health care workers during this pandemic. Summarizing on Slide 8. Our steadfast execution against our strategic plan to focus our growth, divest non-core businesses, realign our cost structure and bring innovative solutions to the market has helped to create a stronger business foundation from which we can address the challenges we’re facing today. And it’s the agility, flexibility and dedication of our entire global workforce that’s enabling us to successfully deliver on our commitments to our customers during these unprecedented times. While the COVID-19 pandemic will continue to create challenges and uncertainties in the near term, the momentum we are seeing in new awards, winning the coveted General Motors supplier of the year award, coupled with aggressive cost management and our strong balance sheet, all position us well to continue to deliver over the long term. With that, I’ll turn the call over to Matteo for a little more color on the financial results.
Matteo Anversa: Thank you, Phil, and thank you to everyone joining the call today. So let me start on Slide 9 and focus on the items that most significantly impacted our second quarter results. For the quarter, product revenues declined by 44% compared to the same period of last year. And if we adjust for the impact of FX, our overall product revenue decreased by approximately 43%. The primary driver of the year-over-year decline was the impact of the COVID-19 outbreak. Before I jump into the gross margin, let me give you a little more color on the revenue by segment. Our automotive segment was significantly impacted by COVID-19, and revenue declined 46% year-over-year or 45% if we exclude FX. In comparison, according to IHS latest data, light vehicle production declined 39% for our key markets of North America, Europe, China, Japan and Korea. Please keep in mind that our regional revenue mix differs from the light vehicle production mix. And as we projected on our last earnings call, in the second quarter, we declined at a faster pace than IHS due to Gentherm’s higher exposure to the North American and European markets. As Phil mentioned, if we adjust for this, we outperformed actual light vehicle production by approximately 700 basis points. As a result of COVID-19, we experienced significant revenue shortfall in all of our automotive product lines, except electronics, where revenue was up almost 18% year-over-year, primarily due to the electronic control units that we sold to Ford to support their production of respirators as well as revenues coming from the recently launched memory seat module program also with Ford. If we move to the industrial segment, revenue declined 14% compared to the second quarter of last year due to the disposition of the GPT business, which occurred in October of 2019. Conversely, we saw continued strength in our medical business, where revenues increased more than 18% year-over-year, and this increase was primarily due to the high demand of Blanketrol as a result of the COVID-19 pandemic. If we move to gross margin. Gross margin for the second quarter was 19.6% compared to 29.9% in the year ago period. This decrease was due to the lower automotive volume as well as annual price reductions partially offset by lower manufacturing fixed cost, positive sales mix as a result of the strength in our medical business and supplier cost reductions. Moving to operating expenses, which were $36.6 million in the quarter. This amount included a $600,000 net reduction in the restructuring charges related to revisions to our footprint realignment initiative that we announced last September in a proactive effort to preserve cash. If we adjust for the restructuring charges and acquisition-related expenses in both periods, operating expenses were $27.2 million, down from $61.1 million in the second quarter of 2019. The year-over-year decline of more than 27% was primarily driven by a 31% reduction in SG&A and 20% reduction in net R&D expenses. The key drivers of these cost reductions include the impact of the adjustment in projected incentive compensation payout related to the company performance in 2020, the divestiture of the GPT business, lower headcount, reduced travel costs and lower outside service fees. We expect that of the $14 million year-over-year reduction in adjusted operating expenses, approximately 60% to 70% will be sustainable. As a result of the cost reduction initiatives across the manufacturing area, R&D and SG&A, adjusted EBITDA for the quarter was a breakeven compared to $32.2 million of the year ago quarter. And finally, adjusted EPS in the quarter was a loss of $0.37 a share compared to earnings of $0.47 a share in the second quarter of last year. After adjusting for the effect of the settlement and closure of multiyear international tax audits, primarily in Korea, our tax rate in the quarter was approximately 31%, in line with the first quarter. Moving to the balance sheet on Slide 10. Our cash position at the end of the quarter was $212 million, including $2.5 million of restricted cash coming from the disposition of the CSZ Industrial Chamber business. Our cash position in the quarter decreased by $14 million, primarily as a result of the $33 million net repayment of the revolver. In the second quarter, we generated $21 million in cash from operating activities compared to approximately $34 million in the prior year quarter. And in the first half of 2020, our cash flow from operating activities was $15 million compared to $40 million in the same prior year period. Our net debt decreased by approximately $20 million during the quarter from $11 million at the end of first quarter of 2020 to negative $9 million at the end of the second quarter. Our net leverage ratio as of June 30 was negative 0.08 as a result of the fact that cash on hand exceeded the gross debt by approximately $9 million. As of the end of the second quarter, the total debt stood at approximately $200 million, including the cash received from the revolver drawdown that we executed in March. Based on the trailing 12-month consolidated adjusted EBITDA ended June 30, we had approximately $159 million of remaining availability on our line of credit, down from $227 million at the end of the first quarter. Now as you’re aware, we withdrew our guidance for 2020 in late March due to the uncertainty of the macroeconomic environment. Given the uncertainty that still exists, we will not provide full year guidance until we can gain more clarity around future industry production levels. However, let me give you a little color on the third quarter. While we are not providing specific guidance, based upon current customer demand and assuming no significant market changes due to the resurgent COVID, we are expecting third quarter product revenues to improve sequentially and to be in the range of $210 million to $240 million. While we are still in the process of closing the month of July, we expect our cash balance to decrease by approximately $10 million in the month. And in addition, we expect our revolver availability to be lower at the end of the third quarter. In summary, we are pleased with the team’s continued ability to execute in this difficult environment, allowing us to preserve cash and protect the liquidity of the company. Our current liquidity position is expected to enable us to navigate through a protracted market downturn, in line with the latest IHS forecast of a 20% decline in light vehicle production in our key markets for 2020. With that, I’ll turn the call back to the operator to begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Gary Prestopino of Barrington Research. Please go ahead.
Gary Prestopino: Good morning, everyone. A couple of questions here. First of all, Matteo, I didn’t quite catch this, but was – you said about 60% to 70% of the expense reductions are sustainable going forward. Now is that on a total operating expense basis or just SG&A expenses?
Matteo Anversa: Gary, that’s total operating expenses. So it includes both SG&A and R&D. The majority of the [indiscernible] I would expect to be in SG&A.
Gary Prestopino: Okay. So 60% to 70% of that is sustainable, good. Okay. And then, Phil, could you maybe – a little bit confused here, not really confused, but just maybe drill down a little bit. You talked about outperformance in the quarter. And I thought – I think you said you were over-indexed to North America, but yet your revenues – product – your automotive revenues were down versus light vehicle production. So could you maybe explain a little bit better about where that and how you determine that outperformance?
Phil Eyler: Sure. Yes, basically, what – it’s a weighted number based on our volumes in the different regions. So we kind of rerun the number based on that weighting. And if you do that, actually, in every region, we outperformed.
Gary Prestopino: Okay. Okay. And then just lastly, is it safe to say that the bulk of the revenues you generated really came in the month of June for this year? Was most manufacturing production shut down in April and May? And then it kick-started in late May, early June. Is that kind of a way we should look at it?
Matteo Anversa: Yes, Gary. So just to give you an idea, our revenues in June were about $65 million, $66 million. And April and May were pretty much half of that amount.
Gary Prestopino: Okay, thank you.
Operator: [Operator Instructions] Our next question Ryan Sigdahl of Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Great. Thanks guys for taking our questions. You guys talked about kind of this mix-adjusted regional breakout in the quarter. Curious what – when you do that for Q3 using IHS or whoever you want from a forecast perspective, but what expectations are for your mix-adjusted regional breakout relative to your guidance?
Phil Eyler: Well, we’re not really giving that specifically in the guidance. But certainly, all the indications for North America will be probably the strongest region. Obviously, that’s 50% of our revenue. So you can imagine that. We do have a situation, though, where Ford is planning to do a model changeover there. Actually, if you look at their expectations in the fourth quarter for the F-150, they’re pretty low based on the model changeover. That, of course, generally has a lead time effect for suppliers. So we do expect a negative impact in Q3 on the F-150, which is pretty high revenue product for us. But outside of that, certainly, we expect North America to be strongest.
Ryan Sigdahl: And then the Lear partnership you announced yesterday, any more details you can provide on that? Are there any exclusivities on either side, et cetera?
Phil Eyler: Yes, we’re really excited about this. This is a – for the last year, we worked together on this product. It’s a modular seat-based thermal solution. So it’s something that can be applied to many, many different vehicle types through the modular seat application, and it is complete. It’s market ready. So we’re – both companies together in a position to market that product. Super excited. And obviously, you can see from the announcement that this would be kind of a breakthrough in the industry. It’s the platform that through our combined algorithm can be personalized based on the ClimateSense technology, which is embedded into the controls of this product. And of course, using many of the Gentherm thermal effectors. So that’s kind of the essence of it. When it comes to the proprietary nature, there’s kind of a mix there. Some of the application at this – at the level of the modular system is proprietary, and much of it can be used in – by Gentherm across all of our customers in different applications.
Ryan Sigdahl: And just as a follow up, so you said it’s market ready. You’ve also talked about a number of different ClimateSense development projects with OEMs directly. I guess when you say commercial or market ready, are you going after commercial awards here in the near term? Or is it to go after more of these development projects with the OEMs in joint fashion with Lear?
Phil Eyler: Well, it’s a little hard to say how that’s going to be. I mean, we’re just now starting the customer marketing side of it. It is, I would call it, a market-ready product, which could – based on the status of the development, could be awarded to a vehicle, should the right customer come around. Of course, we’re prioritizing those customers together with Lear. That – to differentiate that with ClimateSense, ClimateSense is more of an integrated vehicle approach, which is not just the modular seat but also multi surfaces, integrates with the HVAC system, et cetera. So it’s important to differentiate the products a little bit. But this one is really ready. If we were to receive an award together, we could get this in development pretty quickly.
Ryan Sigdahl: Then one last one for me and then I’ll hop back in the queue. On CCS, the GM’s BEV platform, will that be awarded across all current and future models or any additional detail there? Thanks.
Phil Eyler: Well, they are specific models that we won that on. So future models, we have to continue to perform and win those on their own right as they come around. So that said, we’re winning in all of the programs that we’re going after with GM at the moment. And we know the position is fantastic, but we also know that we have to continue to execute on quality, innovation and cost to maintain that business in all the upcoming platforms in the future.
Ryan Sigdahl: And just to clarify, are you on all of their battery electric vehicle platforms today or models? Or is it just specific ones even on the current ones?
Phil Eyler: All of the ones that have been released and bid for climate seating, we’ve won.
Ryan Sigdahl: Great. Thanks, guys good luck.
Operator: [Operator Instructions] This concludes the question-and-answer session. I would like to turn the conference back over to Phil Eyler for any closing remarks.
Phil Eyler: Okay. Thank you. Thanks, everyone, for joining our call today. As I’ve consistently shared in the past, we remain very focused on operational execution, innovation and cost improvement, which has become even more important in today’s COVID-19 environment. I’m extremely proud of our team’s agility, flexibility and dedication to deliver on our commitments to all of our stakeholders. Despite the current uncertainties around an economic recovery and what that means for both Gentherm and our customers, our strong liquidity and our continued focus on productivity enable us to continue to deliver significant long-term shareholder value. We appreciate your interest and support and look forward to keeping you apprised of our progress. Thank you.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.